Operator: Good morning, and welcome to the MGM Growth Properties First Quarter 2019 Earnings Conference Call. Joining the call from the company today are James Stewart, Chief Executive Officer and Andy Chien, Chief Financial Officer. Participants are in a listen-only mode. After the company's remarks, there will be a question-and-answer session. Please note, this event is being recorded. I would now like to turn the conference over to Mr. Andy Chien. Mr. Chien, Please go ahead.
Andy Chien : Thank you and good morning, and welcome to the MGM Growth Properties first quarter 2019 earnings call. This call is being broadcast live on the Internet at mgmgrowthproperties.com, and we have furnished our press release on Form 8-K to the SEC this morning. On this call, we will make forward-looking statements under the Safe Harbor provisions of the federal securities laws. Actual results may differ materially from those projected in the forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from these forward-looking statements is contained in today's press release and in our periodic filings with the SEC.  During the call, we will also discuss non-GAAP financial measures, in talking about our performance. You can find the reconciliation to GAAP financial measures in the press release, which is also available on our website. Finally, please note that this presentation is being recorded. I will now turn it over to James.
James Stewart : Thank you, Andy. I'd like to welcome everyone to MGP's first quarter 2019 conference call. A little more than one week ago, we celebrated our third anniversary as a public company. We've accomplished what we told our investors that we would do at that time. And if you had invested in $10,000 in the shares at IPO, that investment would be worth approximately $17,800 today. This represents a return of 78%, which exceeds the return of the NASDAQ Index, the S&P 500 Index and the RMZ REIT Index over the equivalent period. We have completed over $4.7 billion of acquisitions, increased our annualized cash rental revenue from $550 million to $946 million and returned value to shareholders, with a 30% increase in our annualized dividend. We are building on the momentum of the last three years and believe the future will bring continued success and growth to MGP.  On January 29, we completed the acquisition of Empire City Casino's real estate assets for $625 million, expanding our footprint to the New York City Metropolitan area. This transaction increased rental revenues under the master lease by $50 million and provided us with an additional growth opportunity, with the right of first offer on future gaming developments at the property. On March 7th, we completed the transaction for the renovations undertaken by MGM Resorts at the Park MGM and NoMad Las Vegas property, for a total consideration of $637.5 million. We funded the transaction with approximately $606 million in cash and the issuance of approximately 1 million Operating Partnership units to MGM.  As part of this agreement, the annual rent under the master lease increased by another $50 million. Subsequent to the quarter end, we completed the sale of the operating assets of Northfield Park, the dominant asset we acquired in the State of Ohio, to MGM and added Northfield to our master lease.  This transaction increased rental revenues by $60 million. MGM funded its acquisition with approximately 9.4 million Operating Partnership units that we redeemed. The redemption of the units enhanced our AFFO accretion, without a meaningful impact to our leverage or our shareholder liquidity. Our third consecutive rent escalator went into effect on April 1st, of this year, increasing rent by another $16 million. Our top priority remains to sustainably grow our dividend and create long-term value for our shareholders. Our rent is supported and backed by our master lease and from the significant operational and financial strength of our tenant, MGM Resorts, the $15 billion market cap company which guarantees our rent. We continue to evaluate multiple opportunities that fit within our criteria on the M&A front, and continue to be very optimistic about the growth prospects available to us. I will turn it over now to Andy to discuss our financial results.
Andy Chien : All right. Thank you, James. I will now provide some highlights for a few items in our first quarter financial results. We recognized $196.9 million of rental revenue on a GAAP basis or $204.7 million on a cash basis. Net income was $66.4 million for the quarter. G&A expenses for the quarter were $4.2 million, which included approximately $500,000 of costs incurred for transactions that did not sign or close in the quarter.  As a result, adjusted EBITDA and AFFO were $223.9 million and $163.8 million respectively. AFFO per share for the quarter was $0.57. Our TRS, the Northfield, Ohio property earned $22.8 million of adjusted EBITDA, which is after a $2.7 million of management fees and license fees paid. Northfield Park, the largest gaming property in Ohio, continued its success, hitting on all cylinders, hit a Q1 record for coin in VLT revenue, operating revenue and adjusted EBITDA. This asset is another great addition in the master lease portfolio, and we look forward to the property, continuing to improve on this momentum with MGM's operational expertise. The company this quarter also adopted ASC 842 for lease accounting as of January 1. Accordingly, the master lease for which we are the lessor, continues to be classified as an operating lease. Additionally, on the balance sheet, the company, it is also a lessee under certain ground leases on our properties, for which, we continue to be reimbursed through the master lease.  As a result of this adoption, we recorded an operating right of use assets and the related operating lease liability on our balance sheet. On the income statement, in tenant reimbursements and reimbursable expense line items, we will only record these ground lease reimbursements and payments going forward. The leases remain triple-net. There are no changes from a practical or actual cash payment on any of these line items. Lastly, we also recorded a least incentive asset related to the Park MGM transaction. The amount recorded on the balance sheet represents a consideration paid, less a portion of our existing deferred revenue balance. For the first quarter, our dividend increased to $0.465 per share, which represents $1.86 on an annualized basis and a 4% increase from the prior annual rate. On the balance sheet side, this quarter, we also successfully raised $750 million senior notes, included in our second follow-on equity offering for total net proceeds of approximately $548 million. Today, we also entered into an at-the-market equity distribution program, or otherwise an ATM program, which will allow us to offer and sell up to an aggregate volume of 300 million of primary shares from time to time. We'll be using the cash proceeds from these primary share offerings for general corporate purposes, including to help fund future acquisitions and to repay indebtedness.  These transactions allow us to maintain and strengthen our financial profile and increase the financial flexibility to provide us with strong foundation to continue to explore and execute on our robust pipeline of potential opportunities. Pro forma for all the announced transactions and capital markets activity in the quarter, our pro forma net leverage will be at the low end of our previously communicated target range of 5 to 5 net times debt EBITDA. With that, I'd like to turn it back over to James.
James Stewart : Thanks, Andy. I'd like to thank all of our investors for their continued support over the past three years and I'd turn it over now, operator, please for questions.
Operator: Thank you. [Operator Instructions] The first question today comes from Shaun Kelley with Bank of America. Please go ahead.
Shaun Kelley: Hi, good morning, guys. Just wondering if you could give us maybe, the sort of obligatory kind of question on the M&A backdrop, just a little bit more color. I think in the quarter, obviously a very large strip asset, as been I think in press reports as it's been indicated for sale. Just kind of, what's the pipeline look like, what's the level of kind of discussion activity, I know it's a hard one to answer.
James Stewart: Yes. We have a policy of not commenting on M&A situations. Other, but I will say, things are as busy as they've ever been, and a number of the assets, at least where we sit right now that we think could come up, are attractive for us.
Shaun Kelley: And the sort of one of the other big developments in the quarter was sort of a new OpCo partner coming in, that we haven't seen before into the sort of the gaming REIT landscape, sort of a non, not a public operator. Just curious on your thoughts there, kind of high level about OpCo, available OpCo partners and what you guys are sort of able to kind of, or what's the activity level on maybe the OpCo side or discussion level on the OpCo side? Are you seeing more interest from that perspective as well?
James Stewart: It varies. There are certain OpCos which have, are very much in growth mode and for those, we are a natural partner to assist in their growth. There are others who are more in monetization mode, where we could assist potentially in, on the flip side of that. And then there are others who I would say are more on harvest mode, but, meaning, looking to reap the fruits of their labors by running the properties more on a cash flow basis. So for, there is a broad gamut I would say that we are not kept up at night, with a lack of potential partners, there's a lot of people who want to grow and we feel pretty good on that front.
Operator: Next question comes from Rich Hightower with Evercore ISI. Please go ahead.
Rich Hightower: Hey, good morning out there, guys. I want to follow-up on Shaun's first question there. Maybe from, somewhat different angle, but as we think about the opportunity set that is currently available to MGP and you would include the dropdowns from MGM, Shaun referenced the Cosmo, Great Wolf is obviously on the market and there are some other sort of non-public large multifaceted leisure oriented resorts currently on the market as well. I mean, it all adds up to multiple billions of dollars of potential opportunities there. And so, how do you balance out that opportunity set from your perspective? And then also the capital constraints in the sense that you don't want to impact the market for MGP's share price, for instance. How do we balance all that out?
James Stewart: Well, I would say, it is a very, very active time and it's keeping us all very busy. There's a number of opportunities. Any opportunity for us, it would have to be accretive to value on a basis that doesn't lever us through our target range of 5 to 5.5 and assets where we are sure that they're not again going to keep us up at night over worrying about whether or not they're going to pay the rent.  So if all of those things get met and the asset has an enduring value that we like and the industry we understand, i.e. the leisure business or the hospitality business, is accretive on a basis that doesn't lever us through our targets, those are things that we are going to want to look at whether they're gaming assets or other land based leisure assets.  As it relates to liquidity, I would say, as evidenced by some of the really significant IPOs, equity offerings, the stock market being at a record high and the debt markets being very open, there is a great deal of liquidity that we have available to us and we're not really feeling any pressure on that front in terms of being able to accomplish what we want to accomplish.
Rich Hightower: Okay. I appreciate the color, James. And then one housekeeping one for Andy. Just, can you give us a clean view on straight-lining effect on rents in a clean quarter going forward, just for modeling?
Andy Chien: Sure. We could take that offline Rich, but suffice it to say that the straight-line number that you're going to see posted for Q1 obviously will have partial quarters because of the closings to the quarter Q2 will have a run rate, the escalator because it's cash steps up, but the straight line will remain the same. So we can get through that offline.
Rich Hightower: All right. Sounds good. Thanks.
Operator: The next question comes from Carlo Santarelli with Deutsche Bank. Please go ahead.
Carlo Santarelli: Hey, guys. Thanks. Andy, I just wanted to follow up on one of the comments you made in your remarks, which was the, I think you said $5 million of costs that was in the EBITDA number for the quarter of things that weren't changed, is, could we just first clarify that I'm not mistaken on that?
Andy Chien: That is, $500,000 was the number for transaction cost that did not sign or close.
Carlo Santarelli: Okay. Understood.
Andy Chien: Sorry if I said the wrong number.
Carlo Santarelli: No, no, no you probably did say the $500,000. That's my fault. Okay. And then just in terms of the, as you look ahead here from a landscape perspective, geographically, obviously the Strip as mentioned earlier, has some stuff. When you look out in the regional markets, would you say that the recent move in equities as well as the move in your equity and what has positioned you guys from a more powerful equity capital position, have you guys maybe potentially in a situation where you could be more aggressive for some regional portfolios that might come up?
Andy Chien: Yes, I think as far as regional versus Vegas, we're looking for tenants that can pay the rent for 30 years effectively, right? So from a geographic standpoint, we like the markets here locally in Las Vegas. But we also like the regional markets, but at the end of the day, it's really the tenant that pays their rent are regardless of the market. So we don't have a strong or a set strategy for certain percentage, but we are looking for strong tenants under strong lease structures.
Carlo Santarelli: Understood. Thank you.
Operator: The next question comes from Thomas Allen with Morgan Stanley. Please go ahead. Mr. Allen, your line is open. Mr. Alan? The next question comes from Barry Jonas with SunTrust. Please go ahead.
Barry Jonas: Hey, guys. Another REIT this morning said they're exploring gaming deals. Just wanted to get your thoughts of another entrant helps or hurts you and the existing gaming REIT players? Thanks.
James Stewart: Thanks, Barry. I would say there are very, very few asset classes on the real estate side, where you have as few owners as you find in the integrated resort business. So we are not, it's definitely not a negative. As matter of fact, I think it's a positive and it's just one more step in the evolution for this asset class where investors are going to realize that these buildings are immensely valuable and it's a huge opportunity.  And I think that having another entrant want to come in and make a move in the area, it's only a positive for all of us in terms of, again, validating the concept, the real estate, the opportunity and so on. So we are not negative at all. We are very positive and we think it's going to bode well for all the existing players as more and more people want to come into this class, since we own the vast bulk of gaming real estate.
Barry Jonas: Great. And then just curious on the TRS. I guess, you're out of the operations game, but curious if you would structure deals using a TRS, again like you did with Northfield or is there a preference to avoid these scenarios going forward?
Andy Chien: I think the preference is always for the regular way transactions into a lease. At TRS, I think we had a good experience, it's not out of the question. But as I mentioned, I think the easier, the quickest path to getting into a net lease structure, which is the company that we are, is to do it from the start.
James Stewart: One of the hallmarks that we have is that, we have the ability, given a lean decision-making structure that we can be very, very creative when it comes to any kind of transaction. So whatever, if it's something that we want to do and it's an asset that we like, we have a lot of different dials that we can turn on a pretty quick basis in order to get something done, whether it'd be that kind of structure, other restructuring techniques that giving out of partnership units to help seller with their, manage their exposure to the real estate, et cetera, we have a lot of dials can turn into. That's just one example of sort of creative structuring that we can do on a relatively quick basis, that I think will be great for sellers.
Barry Jonas: Great, thank you.
Operator: The next question comes from Robin Farley with UBS. Please go ahead.
Robin Farley: Great, thank you. There's probably only so many different ways to ask the same question, but maybe I'll try this angle, just with, in terms of timing, I wonder if you could you give us any thoughts on, you've talked in the past about when a property opens maybe 12 months after it having a transaction, again Springfield, I guess that somewhere will be 12 months. And do you think that is likely to be the next transaction that you do or do you think we might see something else before them?
James Stewart: It's a very tough to really answer with any kind of real thoughtfulness behind it. Because although that is, that's definitely one opportunity and I think it will prove out to be Springfield, that is a very successful one. Ultimately, it will take a little longer ramp, given the newness of the property to that region. And in terms of other transactions, these things are large and complex and they really take on a life of their own. So it's, it is really too difficult to predict what our next deal would be with any kind of certainty, but needless to say, we are, we're pretty busy.
Robin Farley: Okay. All right, great. Thank you.
James Stewart: Thanks, Robin.
Operator: The next question comes from Joe Greff with JPMorgan. Please go ahead.
Joe Greff: Hey, guys, I have a pipeline related question to be asked somewhat differently. I heard you before loud and clear, James that you're as busy as you've ever been. So a two-part related to that, one, does the, the fact that you've entered into an ATM program, is that in isolation indicate to you that you're warmer toward the deal than having not mentioned that today? And then another question, two is, can you talk about sort of the stuff that you're looking at? Is it skewing more non-MGM Resorts as a tenant versus MGM as a partner compared to the past 12 months? And that's all from me.
Andy Chien: Hey, Joe. It's Andy, I'll take the first one. As far as the ATM, that's something that we've been talking about for a period of time and just something that we were working on and getting the rightsizing and structure for our company as an inaugural program. So that's, it's something that I think provides us the financial flexibility to access the markets when there's an attractive price and we can use, do so intra-quarter. So that's just something that adds financial flexibility for us.
James Stewart: Yeah. And in terms of partners, we are talking with lots of different potential partners, some of whom were very close with, if, to the extent that we can do something with the MGM. It is arguably, I mean it depends on the specifics around the deal, but since we could potentially use the master lease and add an asset to that with all the strengths of cross collateralization, the 6.2 times coverage and the corporate guarantees that come with that, as well as the fact that the lease has already been negotiated and hammered out, to the extent that we can do something with them, it's the most straightforward path. That said, they are a picky buyer and not everything is going to fit for them. So to the extent there's deals that we wanted to do that we could do with one of our, sort of preferred partners, that is wide open.
Joe Greff: Thank you.
Operator: Our next question comes from Daniel Adam with Nomura Instinet. Please go ahead. Daniel, your line is open.
Daniel Adam: Hey Guys, sorry about that.
James Stewart: Hey, Dan.
Daniel Adam: Thanks for taking my question. Since there has been some narrowing of your valuation gap with the traditional retail triple nets, not completely, but some, do you think we're at a point yet where deals outside of the gaming space might be accretive?
James Stewart: The devil is in the details for any transaction, of course, but I would say, in general, yes, it's our own valuation has tightened up and I think, I still think, by the way that we have a very great deal of room to go on that front. But it does open up many different opportunities that we could do accretive transactions in, in a larger general area and that has expanded the amount of potential deals that we're looking at.
Daniel Adam: Okay, great. And then, just a follow-up on Joe's question and not to put you guys on the spot, but if you had to quantify, what would you say the odds are that you'll have a second tenant announced by the end of this year?
James Stewart: Second tenant isn't in and of itself a goal to the extent that we have a transaction that we think strengthens our portfolio, strengthens our financial position, strengthens the security of the company going forward and enhance the shareholder value and that occurs with the second tenant or with MGM. Those are all deals that we want to do. What we do not want to do is to do a transaction in order to achieve the goal, it's not even really a goal, to achieve the outcome of having a second tenant that we are not completely satisfied with and think will be an enhancement to our shareholders' value and our financial position.
Daniel Adam: Okay, got it. Thanks guys.
James Stewart: Thanks, Dan.
Operator: [Operator Instructions] The next question comes from John Massocca with Ladenburg Thalmann. Please go ahead.
John Massocca: Good morning. So following up on the question with regards to kind of new entrants into the gaming REIT space or potential new entrants into the gaming REIT space, has there been any cap rate compression, given the number of potential capital partners for operators, maybe expanding or has cap rates kind of remained pretty steady over let's say the last six months or so?
James Stewart: It's very, very asset and situation-specific. One thing about this asset class is that you don't have dozens and dozens and dozens of [indiscernible] transactions occurring on a relatively regular basis to buildings that look exactly the same across different cities or even in the same city, which you have in a number of asset classes, which gives people greater confidence because they can move with the herd and pay what other people are paying and so on.  Here, they are much more tailored and specific sort of like, off if we really sort of think about it closer to an office building, then other situations, I mean, think we're a Class A office sort of owner equivalent here. So, it's difficult to drive too many conclusions. But, I don't feel like there has been a real meaningful cap rate change, other than cap rates change depending on the specifics of the asset and the transaction.
John Massocca: Okay, understood. And then one last one, just specifically with regards to the transaction for the improvements at Park MGM and NoMad, what drove the mix of OP units in cash, just how you structure that transaction?
Andy Chien: As part of that transaction, there was always an option up to 5% or 10% OP units at the end of day that last decision, I think that just from a cash saving standpoint, on the part of the tenants. So, it's the $30 million or otherwise, about 1 million shares of OP units were issued for that transaction to close.
John Massocca: Okay, that's it from me. Thank you very much.
James Stewart: See you.
Operator: The next question comes from John DeCree with Union Gaming. Please go ahead.
John DeCree: Hey guys. Good morning.
James Stewart: Good morning, John.
John DeCree: Just one question from me, thanks for all the color so far, but wanted to get your opinion on, your kind of thought process to, what do you think about the credit strength of your tenant and your rent coverage, relative to the Group? Does that give you any additional financial flexibility in kind of how you evaluate new opportunities or uses of cash flow, I guess, being a little bit more aggressive going forward either with you or dividend policy or how you might manage the balance sheet, given that the level of security you have with your existing cash flow stream?
James Stewart: Yes. The, one of the things that we're most proud of and as shareholders, very pleased with is exactly what you mentioned which is the strength of our tenant split between coverage, low leverage levels, assets in Las Vegas, in the domestic, in other parts of the domestic United States, in Asia, we couldn't be more pleased in terms of our outlook and how we will perform through great times and difficult times. We always look at things that you've brought up, in terms of overall, how we capitalize the company, what we want to do with dividend policy and so on. So, we analyze them basically on an ongoing basis and certainly, every quarter with our Board. To-date, we like where we are and there, it's an ongoing analysis that we go through all the time. I think we have a great deal of flexibility on a number of different fronts. And to the extent that we think that they would create a sustainable increase in our shareholder value, than we would do, one of something like that to the extent that we think it's either not sustainable or wouldn't create shareholder value, then of course, we would not.
John DeCree: Thanks, James. That's helpful. And maybe just a housekeeping item for Andy. A lot of moving parts and some transactions. Could you just give us a check on where the current OP unit count stands for modeling purposes?
Andy Chien: Sure. At the end of the quarter, we'll file about $2.99 million total, but then at post quarter with the sale of the Northfield OpCo, redeem another $9.4 million. So you subtract that off of what would have our quarter end balance would be.
John DeCree: Great, thanks guys.
Operator: The next question comes from R.J. Milligan with Baird. Please go ahead.
R.J. Milligan: Quick follow-up on the non-gaming potential out there. How much time, are you guys spending on looking at non-gaming and what do you think the chances that you closed on something that's non-gaming by the end of the year?
James Stewart: We are looking, along with just any trends, as I've said, any transaction that fits our acquisition criteria, when I look at, it's too hard to predict with any real certainty around odds and in terms of how we think of transactions, to the extent that something is, something that's attractive, but we want to do, we've kind of, we ranked them out in that order and we'd rather do on the margin larger deals than the smaller ones, within some bounds of course of reasonability.  And so, that's really sort of the lens with which we look at it. We're very comfortable with land based entertainment or hospitality options to the extent that they can hit our criteria, we will and we think there something we can execute on, those are something we're going to go after pretty hard. But again, fundamentally, it's not a goal in of itself to go into those areas. It's more a fit to, if it fits and is attractive to our financials and shareholders.
Andy Chien: And I'd just add to that. Yes, that market is also active and there are situations that we will evaluate, we'll continue to evaluate and we stay in touch with all those potential asset owners and sellers and their agents et cetera in those types of transactions as well.
R.J. Milligan: Okay, that's it. Thanks guys.
James Stewart: See you.
Andy Chien: See you, R.J.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to James Stewart for any closing remarks.
James Stewart: Thank you. I'd like to thank all of our investors for the support over the past three years, and look forward to speaking to you next quarter.
Operator: This conference has now concluded. Thank you for attending today's presentation. You may now disconnect.